Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Freeport-McMoRan Conference Call, where management will discuss revised operating plans in response to the COVID-19 pandemic and first quarter financial results. [Operator Instructions] I would now like to turn the conference over to Ms. Kathleen Quirk, Executive Vice President and Chief Financial Officer. Please go ahead, ma'am.
Kathleen Quirk: Thank you. Good morning, everyone, and welcome to the Freeport-McMoRan conference call. Earlier this morning, we reported our revised operating plans and our first quarter operating and financial results. A copy of today's press release and the presentation materials are available on our website at fcx.com. Our conference call today is being broadcast live on the Internet. And anyone may listen to the call by accessing our website homepage and clicking on the webcast link for the call. In addition to analysts and investors, the financial press has been invited to listen to today’s call. And a replay of the webcast will be available on our website later today. Before we begin our comments, we’d like to remind everyone that today’s press release and certain of our comments on the call include forward-looking statements, and actual results may differ materially. We’d like to refer everyone to the cautionary language included in our press release and presentation materials and to the Risk Factors described in our 2019 Form 10-K. On the call today is Richard Adkerson, our Chief Executive Officer; Red Conger is on; Mark Johnson is on from Indonesia, we’ve got a number of other of our senior executives on the phone as well and they will be available to participate in our Q&A session. Our comments today in the prepared materials will be principally focused on our plans and our outlook and how we are addressing current market conditions. I'll briefly summarize our financial results for the first quarter and then turn the call over to Richard who will be reviewing our revised plans. As usual we'll open up the call for Q&A after our prepared remarks. We announced revised operating plans as you've seen in the, in the press release, we've had a series of cost reductions and capital expenditure reductions. We've also reduced our copper production volumes by 400 million pounds in response to market conditions in an effort to reduce our costs and capital expenditures. In terms of our first quarter results, we reported a net loss attributable to common stock of $491 million in the quarter that was $0.34 a share which included $256 million or $0.18 per share associated with inventory valuation adjustments and other items that are detailed in our press release attachment on VI. Adjusted net loss attributable to common stock totaled $235 million or $0.16 per share in the first quarter. Our adjusted EBITDA or earnings before interest, taxes and depreciation for the first quarter totaled $189 million. And we've included a reconciliation of our EBITDA calculation on Page 43 of our slide materials. Our first quarter sales, copper and gold were slightly higher than our January 2020 estimates. We sold 729 million pounds of copper during the quarter and 144,000 ounces of gold that mostly reflected higher production from PT Freeport Indonesia partially offset by lower sales volumes in the Americas. Our average realized price in the first quarter was $2.43 per pound that was 16% lower than a year ago average price of $2.90 per pound and the realized price for gold in the first quarter was just over $1,600 per ounce which was 24% above the first quarter of the prior year. Our consolidated average unit net cash costs were also lower than our expectations. They averaged a $1.90 per pound of copper in the first quarter and the estimate going into the quarter was about $2 per pound. Capital expenditures for the quarter totaled $600 million. That included roughly $300 million for projects that we're doing to increase production and reduce unit costs in Indonesia and also our Lone Star Project in the U.S. and Arizona. We ended the quarter with a cash balance of $1.6 billion and consolidated debt of $10 billion. We had no borrowings under our $3.5 billion revolving credit facility and have significant liquidity as we manage volatility during 2020. I'd now like to turn the call over to Richard who will be referring to our slide materials.
Richard Adkerson: So good morning, thank each of you for participating in today's call. I hope you and your families are well and staying safe during this very difficult time for everyone. Our Freeport family extends sympathy and support to all those that are impacted by the virus. And also by the very significant economic hardship that is brought over so many people. We appreciate particularly the global health care providers, government authorities and others who are on the frontlines working often at personal peril to protect our people and all people around the world. At Freeport, we are prioritizing the health and safety of our workers. While we support the communities where we operate, as we serve customers with the ongoing requirements of copper. The copper is an essential metal for the global economy even in today's world. The plan we're announcing today is a comprehensive response by our company following a carefully planned-process-to develop proactive actions, first to save our people and our business and then to protect the value of our assets for the long-term. Very proud of our Freeport team for the response they developed in a very short period during a time when the world faces this unprecedented pandemic crisis. Our team has responded in the right way with the right attitude of commitment and cooperation. Our revised plan will target year end 2020 financial liquidity that at current copper prices actually exceeds the liquidity that we had targeted in our annual plan announced just a quarter ago and that was when copper prices were 20% - more than 20% higher than today’s price. What we had to do with this plan was offset the loss of approximately $1.7 billion of cash flow from lower prices. We've done this by reducing spending, revising mine plans, and taking a series of financial initiatives. Importantly, we have contingency plans to preserve our business if the copper price were to fall further. What this plan will do is carry us over the brighter days for our company. When production volumes increased substantially with the ramp up of our new underground mines in Indonesia, 2021, and as the world economy recovers, whenever that might be. Our Freeport team has done fabulous work by making tough decisions in developing the plan, while we are protecting our workers, treating them fairly, I personally cannot thank our team enough for the work done in developing this plan. We fully recognize the uncertainties we all face about the duration and extent of the pandemic and its impact on the growing economies. Having said that, I'm confident the actions we are taking will allow Freeport to navigate this period of uncertainty and position our company for long-term success. Starting with Slide 3, I emphasize again that health and well-being of our people is number one priority. As we protect our workers, we are addressing the current financial challenge using our experience and successfully responding to past financial crisis. We have an existing playbook that we're following. But we're also taking into account current conditions and uncertainties. We are now undertaking aggressive proactive actions focused on protecting liquidity, by cutting costs, maximizing cash flows. Situation is dynamic and uncertain; we’re prepared to do further adjustments to preserve liquidity and protect long-term values if we have to. Our company benefits in a major way from having extraordinary long lived and durable reserves and resources. I'm confident that the actions we're announcing today and our preparations to respond to further as required will make these assets even more valuable for shareholders in the future. Turning to Slide 4, we have implemented prudent health protocols in all of our locations. We do what we can to avert a spread of coronavirus in our operations. We're monitoring and following all the guidelines of international health organizations and governments. The effort is being led by a dedicated team of medical advisors and providers. Our procedures are robust, forward looking, proactive rather than reactive. Our international medical providers are administering, tracing, quarantine procedures on an ongoing basis. We severely restricted and in most cases, eliminated travel, group meetings have been eliminated, working virtually, and all work that can be done remotely is being done remotely. In our operations, physical distancing in mining processing is being achieved. Ours is not like a factory where people are working totally together. Truck drivers, shovel operators, other operators can work with social distance. At the site we provide housing, meals, transportation. We are being diligent with sanitization isolation of workers showing symptoms and treating workers who have potential illness with state-of-the-art equipment and facilities. Our management of worker health to-date has been very effective. We've experienced a limited less than 50 confirmed cases to-date across our global workforce which approaches 70,000 workers. But knowing just how fast this virus can spread, we remain diligent and proactive in protecting our people. Slide 5 addresses our commitment to communities where we operate. This commitment is longstanding and unwavering. These communities are the homes for our workers and their families. They are essential to our long term success. Across the globe we're supporting communities during this time of great need. We are prioritizing critical needs caused by COVID-19 and we continue to [technical difficulty]. Slide 6 presents the global span of our work force including employees and contractors. While a lot of countries are dealing with the pandemic in varying degrees, our workforce is adhering to global health standards, focusing on their personal safety, and the well-being of those around them. Our global team of workers is critical to our company's success and we fully recognize that. I personally appreciate the dedication, commitment, cooperation during this challenging time. Slide 7 we note that copper is a metal strategic to the world and its importance is growing. Freeport is a long time leading supplier of copper to the global economy. We're working closely with customers to meet their needs in today's world, protecting our business so we can reliably serve customers in the future. Copper is essential to global economy not only in times when the economy is growing but also in times like these when health care, water, food supply, communications and technology are critically important. Telecommunications, digital technologies, and cloud applications have ever been more important than in today's world. And copper is an essential element in meeting these requirements. On Slide 8 I want to note that many of you probably have seen recent reports on the growing recognition of copper's anti-microbial properties. Copper can play a significant role in preventing transmission of viruses and bacteria. This has been known for a long time. Our industry has supported research efforts and education efforts for the public to understand the benefits of copper in fighting the spread of infections in normal times. The current pandemic is bringing to light what copper can achieve in improving public health. Studies have demonstrated that copper can destroy viruses like COVID-19. Copper's use in health care equipment and facilities and in public places will undoubtedly grow significantly when the cost of copper which has been a barrier in the past is measured by the enormous cost to society that is being brought on by this pandemic. Freeport will be at the forefront of leading the world to understand the benefits, the greater uses of copper globally. To learn more about this, I refer you to the Copper Development Association's website and you can read articles about it almost every day in the press. On Slide 9, we talk about just how quickly the market conditions change. [Technical difficulty] seems like a lifetime. When FCX reported its fourth quarter results, the global economy was showing clear signs of progress. The phase one deal with China was encouraging after trade issues had burdened copper prices for the previous 18 months. The copper price was then $2.85 a pound and seem poised to move higher. Now, we have copper prices today about $0.50 per pound lower than in late January. And in recent times, we've seen copper trade down to near $2 a pound, totally unexpected. Meantime, the gold prices have risen dramatically. Gold is a benefit to operations in Indonesia. Oil markets are in turmoil. Diesel fuel roughly 8% of operating cost has declined roughly about 50%, dollar strengthened that lowers our U.S. dollar cost for expenditures in current local currencies. Many other input costs have dropped. The rapid change in markets required us to move quickly and aggressively digest our plans. Freeport's 2020 revenues were already abnormally low because of the transition of Grasberg to underground mining. We completed mining the massive Grasberg high volume open pit in December 2018. Today, PT-FI is effectively managing the coronavirus self-challenge. PT-FI is progressing at own schedule with the ramp up of its massive underground mines. This has been the critical strategic initiative for our company for many years. Continued progress with this ramp up will place Freeport in a much stronger cash flow position even if copper prices stay low in 2021 and beyond. The gold benefit of Grasberg's production is a major benefit as I said, the gold component Grasberg’s production is a major benefit. It’s what together with the good copper grades make this one of the mining industries, most fabulous assets. Of course gold is having its day in the sun, copper's day will come. On Slide 10, we talk about this transition that Grasberg moved to underground mining and with a current ramp up. We've incorporated in our original plans, our budget going into 2020 are prior to the current pandemic, doing the proactive steps to protect our balance sheet and liquidity. Over the past four years, we have cut what was then crippling debt levels in 2016 in half. During 2019, we extended our $3.5 billion bank credit facility currently undrawn for a new five-year term extending to 2024. Kathleen and her team also worked with our banks to obtain amendments to our bank credit revolving covenants, to give us flexibility during the Grasberg ramp-up. In recent months we've had two bond offerings raising a total of $2.5 billion in long-term notes at attractive rates which we used to refinance debt maturities. Today we have no significant near-term debt maturities. Slide 11 now addresses the aggressive actions we're now taking. Our team undertook a comprehensive and iterative process involving site managements across the company. Red Conger and his team in the Americas were facing the challenge this time around of not being supported by cash flows going out of - coming out of Indonesia. Cash we're generating in Indonesia is going into continuing to develop the underground. So what they got to do for each operation each individual mine was to develop a plan to maximize near-term cash flow at low prices while protecting long-term values. All the savings reflected in our new plans that we’re reporting today are supported by detailed analysis. We left no stone unturned. This was not a top down exercise. The objective was set at the top. But our operating teams developed these plans and now own them. They are committed to executing them and our senior management team and our administrative organizations will support them. Everybody is on board. Our Board of Directors has deferred common stock dividends in 2020 prioritizing this. The Board will review dividend actions on a regular basis with the goal of restoring dividends when conditions improve. The chart on the right, summarizes the combined impact of these actions. Based on our January plan at $2.85 copper, we would have ended the year with a consolidated cash position of $1 billion before returning to significant cash flow generation in 2021 with Grasberg's ramp up and beyond. Despite this $0.50 a pound current reduction in copper prices, our revised plan is at $2.30 copper, plans we're announcing today project $1.7 billion in cash at year-end and increase in liquidity without raising new capital. This is a major accomplishment. Three, four weeks ago, we wouldn't have anticipated. We have stress test our plans at lower prices to ensure we have a plan to bridge us through 2020 regardless of prices, and put us in a strong position as we enter 2021 when we will be adding large-scale, low-cost volumes for Grasberg. Significantly, we've reserved a plan to double EBITDA in 2021 from this year's levels without higher copper prices. Slide 12 illustrates the impact of this. Execution of these plans will set us up for significant improvements in 2021, in part from changes in copper prices. Projecting a 26% increase in copper sales, volumes in 2021, 75% increase in gold volumes. The outlook takes into account approximately 400 million pounds of Americas production that we are idling in this plan. And our projections include that remaining idle in 2021, which we're adjusting if conditions improve. Our unit cost projected to decline, 2021 EBITDA would double, 2020 levels at $2.30 copper and $1,600 gold. Cash flow benefit from potential higher gold prices noted as well, many expect, as well as the potential for a return of copper prices to the levels we saw earlier this year. Looking at Slide 13, we note that our management team has had extensive experience in managing tough market environments. The leadership teams across the company are seasoned and have been effective and successful in past downturns. Prices is different, but in each of our past experiences, Freeport has come out stronger. We have a management structure and a team that is collaborative, experienced and decisive. Never cut corners on important issues involving worker safety or environmental obligations. We keep a long-term focus on our license to operate around the world that we worked so hard to earn. We adjust to market conditions quickly, develop contingency plans for further actions as required, do this on a site-by-site basis, a planned safeguard to protect long-term values. This is a real hallmark of this Freeport organization. Highlighted on the slide are actions we took in 2008, 2009 crisis [technical difficulty] 2014 and reached critically low levels in 2015 and 2016 when our company was heavily burdened by debt from our discontinued oil and gas business. Note where share prices were for FCX during each of these crises and the improvement within two years that follow. We're all committed to successful execution of these plans. We're all intensely focused on restoring value in our shares. Now I want to provide you a brief update of our operations and projects. Slide 14 addresses Cerro Verde. As reported previously, the Peruvian government declared a national emergency, which was just extended to May 10. This government order affects Cerro Verde and other mines in Peru. Our Cerro Verde team is doing great work in managing smaller-scale operations during this period while we protect the health of a much reduced workforce and as we work with the government to explain our health protocols so that we can position Cerro Verde for a restore to normal operations. Cerro Verde has been operating in excess of designed capacity for several quarters, chiefly mill throughput of over 400,000 metric tons per day, leading up to March 16. We are currently operating about 1/3 of this level. Our plans are developing and ramping up Cerro Verde late in the second quarter and returning to higher production levels in the second half. Returning Cerro Verde to normal production is important to the government of Peru and the community of Arequipa. Cerro Verde has been a large contributor to the national and local economy, one of the largest employers in the region. Slide 15 covers our new mine that we are developing in Eastern Arizona, adjacent to our Safford mine, very close to Morenci, called Lone Star. And we're nearing completion of this new mine, and we will commence production in the coming months. The project is 90% complete. Capital is largely behind us. We're advancing on schedule with pres-tripping, which we expect to complete in the third quarter. We've started to ramp up placement of ore on newly constructed leach pad at the nearby Safford operation. Project is forecast to add 200 million pounds of copper per year initially, with opportunities to increase production over time with low capital intensity. While we have great expansion opportunities at Lone Star, we are deferring those until the market conditions more. We remain excited about the long-term opportunity for Lone Star. We believe it will be a significant future cornerstone asset for Freeport in the United States. At Grasberg, very pleased to report that our Grasberg underground ramp-up is proceeding on schedule. Great cave propagation for the Grasberg Block Cave and the Deep MLZ mine continue to go well. We have achieved important milestones to establish large-scale production from these high-grade low-cost little blocks. Been consistently meeting or exceeding key performance indicators. I congratulate Mark Johnson & our PTF team for its noteworthy performance in advancing this massive undertaking in such an effective manner. During the first quarter, production from the Grasberg Block Cave and Deep MLZ together averaged over 37,000 tons per day, slightly in excess of our forecast at the beginning of the year, and over 44% higher than prior quarter rates. By the end of the first quarter, we were producing at a combined rate of over 40,000 metric tons per day. Rates will be increasing continually as we go forward. We've added almost 50 new drawbells at the 2 mines during the quarter compared with 34 in the fourth quarter. We now have 250 open drawbells, which are the rock funnels that allow us to gain scale in ore production. These are high-grade, large copper and gold ore bodies. It's noteworthy that the first quarter mill rate throughput was only about half of last year's first quarter yet PT-FI's quarterly metal production was similar to last year's first quarter. This demonstrates that these underground ore bodies can produce scale because of their grades. At full rates, the production of these 2 ore bodies is projected to average over 1.3 billion pounds of copper, 1.3 million ounces of gold per year. In the earlier years, we'll have higher grades, and that will yield higher metal production. Average net unit costs are expected to average less than $0.20 a pound in the first 5 years of full production rates. $0.20 a pound, that's notable and rare for large-scale operations in the global copper industry. Our PT-FI team deserves complements for their extraordinary performance in managing the health situation while continuing to execute on this major project. We have a workforce of about 30,000 people, a large portion of that work in the highlands, where they live in dorms, eat in mess halls. Our team is supported by world-class medical providers. They've been proactive with a series of actions to help us prevent any major outbreak at this remote location. Our testing and screening activities in one of the most remote places in the world are much more advanced than much of what we're seeing today in communities in the United States. Our PT-FI development operating team is supported by FCX's global world-class technical organization. PT-FI in Indonesia is benefiting now [technical difficulty] that was put in place in late 2018, where now we have a 51% shareholder that's a state owned company, named MIND ID and now we have a much more positive relationship with the government of Indonesia after our December 2018 IUPK permit. Unlike years past, now all stakeholder interest in our business in Indonesia are aligned. Slide 17 talks about the smelter that we committed to construct as part of the IUPK. We're facing delays with this project. It's located far from our operations in Papua, in a densely populated area of Eastern Java. We have notified the government of delays because of worker restrictions and supply chain issues, and we're in discussions to extend the December 2023 project deadline. We're also reviewing with the government other issues related to the smelter that might be mutually beneficial to PT-FI and the government. We do not expect to incur capital expenditures of significance in 2020 on the smelter as a result of the delays that we're experiencing. Slide 18 looks at copper markets. Copper prices have dropped from a weaker demand from the declining GDP, of course. On the other hand, supplies of copper have been impacted by the pandemic. Copper mines and development projects are being curtailed or canceled. Scrap market, which provides a large part of refined copper to the market, is currently very weak. We're encouraged by data now coming out of China, indicating an emerging recovery. There is strong likelihood around the world that ongoing stimulus actions will help economies recover. Despite the long - the near-term uncertainties, we're not trying to base our business on ours or anybody else's ability to predict these near-term situations. The long-term copper outlook for copper remains highly positive, and in some ways, being supported by the supply curtailments we're now seeing. Copper is strongly supported by fundamentals, has an essential role in the overall global economy, the major element in efforts to reduce carbon in the world, and the world is increasingly turning to electronics in so many respects, extended from electric vehicles, charging stations, but also 5G and other technical factors are going to require more electronics in the world. Supplies of copper continue to be limited. No one can predict with confidence when economies will recover. Copper is a highly attractive commodity to move - and is positioned to move substantially higher as economic conditions improve. Freeport will be a major beneficiary of this movement. I've included Slide 19 as an infographic, developed by the Copper Development Associations, what I thought does a great job of illustrating broad ranges of uses of copper in the economy. I'll just refer it to you and ask you to take a look at it when you have a moment to consider it. Slide 20 will present our reserve and resource position. We have long-lived and valuable resources that will be available for all organic growth development for decades to come. Volumes we've elected to curtail the current market will be more valuable in the future as economic conditions improve. Before turning to Kathleen, who will review the financial outlook in more detail, I want to close with the following. Freeport is foremost in copper. Looking beyond the current troubled conditions, copper is widely considered the best-positioned major commodity for our supply - from a supply demand standpoint. Freeport's portfolio of copper assets are large and high quality. We're an established industry leader, we operate the mines that we have interest in, which are among the largest in the world. And by operating all of our assets, it provides us valuable synergies and flexibility across the portfolio to deal with times like these and to take advantages of the brighter days to come. Our assets are long-lived, durable, with embedded option for reserve and resource growth. Strong franchises in the United States, South America and Indonesia. Near term, Freeport is in advanced stage for a major increase in margin and cash flows beginning in 2021, apart from copper price movements and extended for 20 years and further. We have industry-leading technical capabilities through strong track record of execution over many years. We've earned the trust and respect of our partners, our customers, our suppliers, financial markets, most importantly, our workers, communities and those countries where we operate. Our block caving experience is one of the most extensive and longest-standing in the history of the global mining industry. We've been operating block caves in Indonesia since the early 1980s, and we have an important aluminum of block cave operation in Colorado. This is a critically important factor as we transition Grasberg to the largest block caving operation in the world. Our experienced and battle testing management team has demonstrated the capabilities to perform in good times and bad. We are confident of our ability to "improve our metal" as we've done in the past. Slide 22, I want to close by talking about our people. Again, I want to recognize the strength and resiliency of the entire Freeport family who inspire me every day. I'm proud to be part of this team. We're all motivated and committed to persevere and achieve success for all of our stakeholders. Kathleen, I'll let you take over.
Kathleen Quirk: Okay, thank you, Richard. I'll turn to Slide 24 and run through some of the details of our operating plans and financial outlook before we begin the Q&A session. On 24, we present a summary of our revised operating plans. As Richard was saying earlier, as we develop the new plans, we focus on reducing operating costs and capital expenditures while maintaining safety, reliability and the integrity of the long-range plans. In the Americas, we reduced mining rates across the board by about 20% in total. What this did, it had the impact of reducing all elements of our operating costs and the capital that higher mining rates would require. We note that this material is still there and available to us in the future as market conditions warrant. At our molybdenum mine in Colorado, the Climax mine, we're going to reduce the mining rate there by about 50% to better match our supply and - the supply and current market conditions. In the Americas, we've reduced capital by $500 million and that included the capital associated with our innovation initiatives that we previously estimated at $150 million of capital in 2020 that would add production as we go forward. We have suspended that project, but we're still using the data analytics tools and the agile way of working to drive cost performance and other things like recoveries and initiatives that do not require significant capital. We believe these tools will be very useful to us. As we drive efficiency. We'll use them rather than driving higher production levels, we'll use them to manage costs and improve our recoveries in our Americas mines. In Indonesia, our mine plans are basically the same as our prior plans. We incorporated updated market rates for energy and the favorable impacts of the stronger dollar on our foreign-denominated labor costs. We also tightened our belt to reduce spending in a number of areas throughout the operation. Now have combined these savings, reduced costs in Indonesia by about 10% for 2020. We also benefit from a higher gold price, which our prior plan was based on $1,500 gold, and we've adjusted this plan to $1,600 gold. And as you know, gold is currently over $1,700 per ounce today. Our capital spending in Indonesia was reduced by over $200 million in 2020. About half of this is the timing of installation of planned mill upgrades, which we deferred by a year as a result of the pandemic and current constraints on international contractors. We've also reduced spending forecasts associated with the proposed smelter in Indonesia that Richard referred to earlier as a result of project delays and the current discussions with the Indonesian government. Looking at Slide 25, and this is also in our press release. It's a financial summary of the revised plan for 2020 compared to the January plan that we prepared in conjunction with our earnings call in late January. Because of the sequencing of our mine plans during the year, we expected the first quarter to be the weakest of the year. We also expect, under the current plan, for capital expenditures to exceed our operating cash flows in the second quarter. But as you can see here on the slide, we expect our operating cash flows for the full 9-month period in the balance of this year to exceed capital expenditures by $400 million. And that's a $200 million improvement in cash flows for the full year compared to our previous plan despite a $0.50 decline in assumed average copper prices. In addition to the cost and capital reductions, our plan reflects a number of cash flow benefits associated with reductions in materials and supplies inventories, an acceleration of tax refunds and a series of other items to improve our cash flow. Importantly, we boosted liquidity during the year compared to our prior plans, and our net debt is lower. Richard mentioned, we've gone through a process of stress testing these plans at various prices and believe we have a plan that will bridge us through 2020 and put us in a strong position as we enter 2021 with the addition of large scale, low-cost volumes from Grasberg. Turning to Slide 26. We show our sales outlook for 2020 through 2022. As you'll note in this slide, the sales volumes are about 400 million pounds per annum, lower than our previous estimates. This reflects the curtailments that we're making in the Americas, reducing our mining rates. And it also includes a small change in 2022 associated with the deferral of the upgrade of the mill project, which has a slight impact on our mine plan for the ramp-up of the Deep MLZ. You see the gold sales are similar to our prior levels. There's a small change in 2022 related to the timing of the mill upgrade. Molybdenum sales are down about 10% from our prior estimates, and that reflects the change at the Climax mine and also the reduction in byproduct moly resulting from mine plan changes in our Americas copper mines. On Slide 27, we present a summary by region of our unit net cash costs. We separated the first quarter from the rest of the year so you can see the impacts of our actions. Net unit cash costs on a consolidated basis in the first quarter were $1.90 per pound. This was better than our plan, which projected about just over $2 in the first quarter. And our first quarter was expected in the original plan to be our highest in the year. But as you'll see, what we've done with our cost structure in the balance of the year is driving a significant decline in net unit cash costs compared with the first quarter. Cash costs in the 9-month average would be $1.44 per pound. That is $0.46 a pound or 24% below the first quarter average. We expect to average for the year, $1.55, taking into account the first quarter results and move to a unit cost level of about $1.20 per pound in 2021. We show at the bottom of the page, the makeup of our cost by region. You can see energy on these pie charts, which includes diesel and electrical power. And that represents, combined, the diesel and other sources of energy, 17% of our consolidated costs. Diesel represents about 8% and our diesel prices have declined more than 50% since the start of 2020. Moving to Slide 28, and you've seen us present EBITDA and operating cash flow in this format over many quarters. But it's designed to show at various prices what our EBITDA and cash flow generating capacity is using the average volumes and costs for 2021 and 2022. We hold gold flat in this scenario at $1,600 per ounce and molybdenum at $9 per pound and vary the copper prices for 2021 and 2022 between $2.50 and $3. And you can see here, we would generate a $2.50 copper, over $5 billion in EBITDA and over $3 billion of operating cash flow. And as prices move, we could generate over $7 billion at $3 copper and over $4.5 billion of operating cash flows. We present sensitivities on the right side of the chart, so you can make your own adjustments as to different copper market or gold market outlooks. We expect, as Richard was talking about, to manage our situation from a financial standpoint in 2020. Before getting into 2021, we will generate - we expect to generate very significant increases in cash margins and cash flow. We've cut spending. I'm now on Slide 29. So these cash flows that we generate will be available to fund CapEx and also have excess cash flows for other initiatives, including debt reductions and other initiatives that we have. We cut CapEx from $2.8 billion to $2 billion, and we show the details of where that came from. For 2021, we're currently estimating $2.3 billion in capital expenditures. That's about $100 million lower than our prior estimate. The focus of our plans to date, our revised plans to date, have been mainly on capital expenditures in 2020. We're continuing to review 2021. And we're reviewing those for potential additional reductions depending on market conditions, which we'll be evaluating in the coming months. Our plans, appropriately cut spending and capital and again, preserving the strong outlook that we have over the next several years. I'll just close on our financial policy that we covered throughout the call. We remain focused on safeguarding our people and our business, and maintaining strong liquidity and balance sheet strength as we manage uncertainty during the pandemic and the economics - associated economic impacts. Under current market conditions and priorities, our Board does not expect to declare dividends in 2020. This will be evaluated on a regular basis. And as we successfully execute our plans and enter 2021, we expect to be in a much stronger position with increased cash flow, enhanced flexibility to consider shareholder returns. Thanks for your attention today. And operator, we'd now like to open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Alex Hacking with Citi.
Alex Hacking: Good morning Richard and Kathleen, and hope you guys are staying safe and doing well. let me ask a couple of questions on Grasberg, if that's okay. The first question would be, how are the supply chains holding up there? Are you able to get access to the consumables and other things that you need? Or are you having to run down stockpiles? And then I guess, secondly, on Grasberg. Congratulations on all the steps that you're taking there to keep everyone safe. But in a worst-case scenario where there is a significant outbreak, what is the contingency plan? I mean, it's obviously very difficult to kind of safely halt underground mining there. So maybe you could discuss a little bit what the contingency would be in a worst-case scenario. Thank you very much.
Richard Adkerson: Okay. Thank you for your question. Mark Johnson, would you comment? Mark is actually in Papua now at Grasberg. Can you comment on the supply chain issues and how we're dealing with it?
Mark Johnson: Yes. To date, we haven't had any problems. Nothing's been interrupted. We're - we always have to maintain a supply up in the highlands. But no issues on - obviously, we have a large community up here. That's one of our concerns, but no problem. Like some of the places in the states, we haven't had a run on any of our grocery stores, our medical supplies, all those key things, plus all the things that we're doing for production and for our development, we haven't had any issues. On the contingency plans. One of the things that we've looked at in a worst-case scenario, as you mentioned, is the mines that we'd be - need to have some consideration. At Big Gossan, we could shut off and turn on if we needed to. It's a stope mine. But we've got - we work with our consultants and we understand what sort of minimum draw rates we would need in our block caves to keep them going. We could drop our personnel dramatically and to just do that minimum draw. For instance, in the Deep MLZ, right now, we run 8 loaders, about the same in the GBC. That's our core production. So the core production is a relatively small amount of people and equipment. A lot of our effort is in the continued expansion, the construction to achieve those out years that we've got. So it's an ongoing process. Our contingency plan in the worst-case scenario would be to minimize those activities and focus on the production activities.
Operator: Your next question is from the line of David Gagliano with BMO Capital Markets.
David Gagliano: Hi, thanks for taking my questions and congrats on the comprehensive update, the quick actions, the cost improvements, the cash savings, everything that you highlighted today. Clearly, you've been through this before. My question is regarding the out years. It looks to me, on my side, like a 2021 and 2022 reductions in copper volumes are mainly tied to the AI initiative CapEx cut, at least for North America. So my question, just to verify, do the '21 and 2022 copper volume targets assume that the North American operations are back up and running at normal rates? Or does it assume they continue to operate at the roughly 20% lower rate? And under what underlying market conditions do you plan to ramp those operations back up to normal again?
Kathleen Quirk: Dave, it's Kathleen. Our mining rates that we have put in here, the 20% reduction in 2020, continues into part of 2021. We have some mines that are starting to ramp up, but we still have idled production during that period of time. So when we were pursuing in our previous plans, the initiatives, we were calling America's concentrator where we were increasing both mining rates and milling rates. We're not doing that at this point. So we could, if market conditions were to improve dramatically, and we'd have to take a long, hard look at that because, as you know, this is not a light switch that can go on and off. But we could start bringing back production and - over time and increase our mining and milling rates again. So this assumes that we remain in a curtailed mode at most of the - really all the operations through the first part of next year. And then some of the operations are increasing mining rates and others aren't. So it's a mixed bag, but we could. There's nothing about our prior plans that would stop us from increasing production. It may delay but because of the mining rate change this year, it may delay the timing to get to those volumes. But as we talked about, the volumes are still there and could be added over time if market conditions warrant.
David Gagliano: Okay. And just as a related follow-up, just can you give us a sense as to when you say if market conditions warrant, is there - what's the market condition that would warrant a full...
Kathleen Quirk: Well, our prior plan at the beginning of the year was based on the context of a copper market of $2.75 to $3. And as Richard was saying, the things - the ground work was in place for potentially higher prices as we go forward. So I think you'd have to see prices move back to those levels and have more economic certainty around the economy. But we're going to be very disciplined about executing these plans, really focused on costs, really focused on capital in the near term to make sure that we can preserve our financial position during 2020. And then as we get into 2021, we can start looking beyond at what the market conditions are and whether we restore full mining operations at that point.
Richard Adkerson: And Dave, realistically, this situation is not likely to turn on at one point. Different countries are going to be in different situations. And things will occur step-by-step, and there will be uncertainties along the way. So it would be fair to say that given our overriding objective of protecting the long-term values of our assets, we will be very measured on how we respond.
Operator: Your next question is from the line of Chris Terry with Deutsche Bank.
Chris Terry: I just had a follow-on to David's question just now. So Slide 26, just on the production. Understand North America, I think that was probably reasonably we were flagged that there might be adjustments there. But in terms of South America, appreciate Cerro Verde is offline currently. The 2021, 2022 impact of South America, can you just talk through that? I know you have a little bit of leaching on Cerro Verde. Is that the carryover effect of less mining into 2021? Or is that - what exactly is happening there? I'm just trying to think about how you could maybe increase that if, again, maybe back to copper conditions, but just trying to understand the mechanics of 2021 in particular.
Kathleen Quirk: Yes. Well, we've also reduced production at El Abra. We deferred a significant capital item there. And so we're reducing our mining rate at El Abra, and that's also contributing to the lower production in South America. But we do show - under our plans, we do show Cerro Verde production increasing in 2021 from the 2020 levels. But our El Abra mine is about flat like it was in 2020 when you compare it. So that's a significant reduction from our prior plans.
Chris Terry: Okay. Okay. That's helpful. Just one more, if I may. I just wanted to follow up on the comments on the smelter. So the concept is still the kind of $3.5 billion level, but you just pushed back 2020, but you're still working out exactly negotiations on that. Is that the right way to think about it? Thanks.
Kathleen Quirk: Richard, do you want me to take that one?
Richard Adkerson: Well, let me ask you to repeat the question. Unfortunately, I had a little static in my line here.
Chris Terry: Sure. No, I just wanted to just be - a little bit more detail on the smelter in terms of the concept. I think what you're saying is it's still kind of the $3.5 billion. You're just going to push out 2020, and you're in the process of renegotiating it. I just wanted to understand that, that was correct.
Richard Adkerson: So I wouldn't characterize it as a renegotiation. We reluctantly decided that we would have to commit to build the smelter in order to get a resolution of the long-standing issues we've had with the government of Indonesia about extending our operating rights. And that was one key concession that we made along with facilitating the government through a state-owned company, acquiring 51% of the shares. That, as you know, was achieved principally by Rio Tinto deciding to sell their joint venture interest to the government. Of course, in return, we got clear-cut operating rights, fixed fiscal and financial terms to 2041 and established a positive new working relationship with the government. So we've made that commitment to the government, and we're executing on that commitment. The facts are we can't proceed as we have planned because of the worker restrictions at Gresik where the smelter relocated and supply chain issues with contractors and the like. In the meantime, the government in Indonesia, like governments around the world, are struggling with state revenues because of lower economic activity and investments. So we are engaging with the government as to whether this new circumstance might provide a way that would be mutually advantageous for the government, for our MIND ID, through PT-FI to reconsider what we're doing with the smelter. But throughout all this, we are being clear-cut that we made this commitment to the government. And unless the government agrees to some changes, which the current circumstances might lead them to consider, we are proceeding with fulfilling our commitment to build a smelter.
Operator: Your next question is from the line of Carlos De Alba with Morgan Stanley.
Carlos De Alba: Hopefully, everyone has been fine. So my question is first on working capital. The company generated cash flow from working capital reduction or lower levels of working capital in Q1. How do you see that going forward during the remainder of the year? And the second question, if I may, is regarding the positive surprise for the second quarter in a row in terms of gold production or shipments out of Indonesia. Can you maybe provide a little bit more color as to what is going on there? And if there is - this is something that maybe you have room to continue to surprise to the outside? Thank you.
Kathleen Quirk: Okay. With respect to the working capital question, we are projecting a large working capital source in 2020. As we mentioned, that is one of our initiatives here, to release cash from the balance sheet through the materials. As we curtail mining operations, we'll have the ability to use existing inventories as opposed to having to buy new consumables to a certain degree. So we'll have a reduction in materials and supplies. We're also bringing forward some tax refunds that were projected over the next several years, and we're bringing those forward into 2020. And there are a number of other cash flow initiatives that we have developed over the last several weeks in the context of our revised plans. And so we are showing a large source of working capital throughout the year.
Carlos De Alba: Kathleen, if I may. So this will continue in Q2, Q3, above and beyond what we saw already in Q1 then?
Kathleen Quirk: Right. Yes.
Richard Adkerson: Let me just add that, again, complementing people. Kathleen and her team has done a great job with financing. Steve Higgins, who heads up our administrative team is doing an excellent job in managing worker issues and HR and other matters. Danny Hughes, who heads up our global supply team, is doing a fabulous job. And we have tremendously positive relationships with our suppliers. We are often one of their largest customers, in many cases, the largest customer. And so as we face this problem, we sit down with our suppliers, and we're able to find ways to reduce costs, deal with payment terms and the like. Same way with our customers. We all understand each other's problems. We worked together many years. Some of this you're seeing is a result of all those long-term relationships, but also how diligent our whole team is being in finding ways, I said we left no stone unturned, in finding ways to generate cash, and we're going to continue to do that on an ongoing basis.
Kathleen Quirk: In terms of the question on the gold. We did experience some higher grades and - of gold, and that will - we still are projecting that our grades are consistent with our plans. And you'll have pluses and minuses with how the grades are measuring against the plans. We did have some higher grades. And Mark, I don't know if you want to comment any further about gold grades and recoveries as we go forward.
Richard Adkerson: Yes. I was going to add that, Kathleen, before Mark talked. Mark, I've been noting just how strong our recoveries have been and recoveries have been above plan in many respects. So maybe you could talk about that.
Mark Johnson: Yes. In the first quarter, what we - the significant difference that we saw in grades in both copper and gold was in the Deep MLZ. We were essentially on or just above target as far as the tonnes. But for both the copper and gold grades, we were about 18% above plan. What's driving that is really, we're mining the Deep MLZ for the cave management. We've talked about the seismicity. And so we're very cognizant of how we pull the cave and it's - our intent is to draw it in a very even fashion, and we've got a great system now where we can track every single bucket, and we know exactly where each bucket of material came from. Just happened in the first quarter to manage the cave on a daily basis, the grades came out. Like Kathleen said, it was an advancement. It's not a change in our model. We just happen to be able to pull - by following the cave plan, we ended up with better grades. And those grades are quite good on both - the copper grade for Deep MLZ was at 1.9% copper and 1.9 gram per tonne gold. And the plan for both those were right in the 1.6 range. So that was a welcome surprise. Recoveries have been quite good. As Richard said, we've been - particularly, on copper, we were over 92% copper recovery. Obviously, these - our experience has been over the life of mining the Grasberg and the other ore bodies here, the better the grade, the better the recoveries, and that's been tracking well. As we mine these very high grades at Gras, at Deep MLZ and the grades at GBC are also very respectable and very high-grade deposit at Big Gossan. So we track well on that, and then we've been right in the 80% recovery range for the gold, which is very close to our expectations.
Operator: Your next question is from the line of Chris LaFemina with Jefferies.
Chris LaFemina: Hi, Richard and Kathleen, thank you for taking my question. It's good to see the improvements in your balance sheet and liquidity over the last few years. Very different from what you looked like in 2015. And also good to see the operational flexibility. It looks like you are actually generating positive free cash flow at current spot prices, which is encouraging. My question relates to how some of the operational changes that you're making today might affect the long-term performance of your assets. I recall back in 2008, some mining companies revised their mine plans. They reduced their CapEx in response to low prices, which helped in the short term, but those changes led to an extended period of higher cost and higher sustaining CapEx. And I'm wondering if that's something that is likely to happen at Freeport? Or is it just that you are taking these short-term measures without necessarily jeopardizing the longer-term structural integrity of your assets?
Richard Adkerson: Well, thanks, Chris. The word jeopardizing is not one that would be - that would apply here. But the effects of not spending some of this money now will carry over to future production levels because certain of the capital costs that we're deferring will have to be recovered in the future, and it will push out some production. But this will not, in any significant way, jeopardize the value, the resources because the resources are still there but it could - it will result in some delays of when that production occurs. You see that at Grasberg, where we are delaying spending on incremental crushing capacity at the mill for the time being, and that will have an impact. What we'll do is update you each quarter as we go through this and get better views of it. But again, it's not a question of destroying resources but there will be some impact on future timing. Let me ask Red. Red, do you have a comment on this?
Red Conger: Yes. Richard, you're absolutely correct. And just one specific example would be El Abra that Kathleen mentioned earlier that we're slowing down the production right there in order to push out capital expenditures and a new leach pad that's required for future production. So when things look up, we'll make that investment and be able to increase the volumes there if markets warrant.
Chris LaFemina: As a follow-up, sorry.
Kathleen Quirk: The other thing I would just add, Red's team is very strong with all of the operations that during this downturn, we're not going to compromise safety. We're not going to be cannibalizing equipment. We're going to keep the equipment that we are using in good condition. It's just that we're not using all of our equipment. So we're postponing what we need to do in terms of rebuilding and things to meet a higher mining plan. But we're not doing things that don't - we aren't doing things that would destroy asset value, and Red keeps preaching that to the team. So I just wanted to add that.
Chris LaFemina: As a follow-up, it will be, I suppose, interesting to see whether companies that don't have liquidity, don't have positive cash flow and are taking actions to kind of protect their balance sheet. We'll have to do things that will lead to less production for an extended period of time. In other words, the question really is, well, do you think this leads ultimately, this downturn leads to an extended period of less than expected global copper production as a result of initiatives that companies are taking today to protect themselves? In which case, we can have higher prices in an upturn than we would have had otherwise?
Richard Adkerson: No question about that. I think the feature that was most supportive of copper prices is the supply situation in copper. Supply was going to be tested in any event before all this happened. And now, with development projects being delayed, curtailments occurring, which is we just spoke about, has some impact. And as you say, Chris, we know what it's like to be a company where you don't have flexibility with liquidity. That's where we were in 2016. And as a result, we had to sell assets beyond copper, but also some copper assets. So this is - depending on severity and the link of this lasting, there's going to be a longer run impact on copper supplies, and that will ultimately be supporting the prices.
Operator: Your next question is from the line of Oscar Cabrera with CIBC.
Oscar Cabrera: Thank you, operator and good morning everyone. Richard, I just wanted to explore a little bit more the cost reduction that your team did. And by the way, congratulations to the team on a quick turnaround. Something that took less than - in a few weeks, whereas a lot of the mining companies are not providing this level of detail. So your site production and delivery costs with your original plan was about $2.04 a pound. This was now reduced to $1.80. I was wondering if you could provide us with an estimate of how much lower can this go. And you talked about diesel costs being lower as well as getting help from a - depreciating exchanges around the world. So I was wondering if you could provide just a ballpark estimate of what percentage of that accounted for the reduction.
Kathleen Quirk: Oscar, this is Kathleen. So it was a combination of many things. But in the Americas, we removed production. So that flows through all the costs, all the mining and labor costs. And so that had an effect on removing all of the cost of production associated with those pounds. We also benefited from lower energy costs, which was about $0.07 a pound compared to our prior forecast. Energy costs are lower than when we prepared this forecast. They're down probably another 15%, 20% from the time we prepared this forecast. But from a long-term perspective, we're using about $1 per gallon of diesel in these forecasts. And that had about a $0.07 impact on the Americas cost. Of course, in the U.S., our currencies, it's all a U.S. dollar business. Where we really saw the benefit of the currency impact was in Indonesia. And as I mentioned, that reduced our cost by - the absolute cost of energy plus the currency benefits by about 10% in Indonesia. And the big driver in Indonesia, though, is the volume aspect, and that's really what's going to drive our cash costs lower. But as you've seen, we reduced our - we were previously estimating over the next 5 years, about $0.30 a pound for production costs in Indonesia, and we're now using roughly $0.20 a pound for those costs, and that reflects some savings in the cost structure that we've been driving over many months, not just because of the COVID and the economic situation. But as we transitioned out of Grasberg into the underground, we've been - Mark and his team have been leading a zero-based budgeting process to bring overall costs down in Indonesia.
Oscar Cabrera: But I mean, year-end 2020, if need be, could cost be reduced further, i.e., there - are there other sources you could use like cutting more production to lower the $1.80 that you're showing now?
Kathleen Quirk: I think what we're doing really is looking at what's cash flow positive. And so we look down at cutting production further. At $2 copper, that may not make sense. But we'll iterate on that some more as we go forward. But if you really look into our second half cash costs at $2 copper, our Americas business is generating cash flow. And so prices would have to decline substantially for us to take it down further. But you noted how quickly we moved here, and we're continuing to evaluate, to be flexible to have a flexible operating structure regardless of prices.
Operator: Your next question is from the line of John Tumazos with John Tumazos Very Independent Research.
John Tumazos: Thank you very much for taking my question and for your service to the company. Concerning the exciting antimicrobial properties of copper, for weaving into linens and masks and things, I guess that would use wire rod and wire products consistent with infrastructure. But for countertops, tables, chairs, restaurant, public applications, it would need sheet. And there's a very limited amount of foil or strip and electronics and a very limited architectural roofing applications. Would you be willing to contribute capital for a sheet rolling mill or a JV with other copper producers or fabricators or apply for stimulus money, which the government might grant to get the supply going? It could be a multimillion tonne market.
Richard Adkerson: John, we've lost part of your question. I think I understand your question.
John Tumazos: Do you want to build a hot strip mill for copper sheet?
Richard Adkerson: I think the more likely thing - the way forward with that is for our company, and hopefully, I feel confident, other companies will join us, is to provide the technical basis for these things and then to work with entrepreneurs, venture capital firms and so forth to develop these new industries. We tried this in the past and we ran into barriers because of the cost of refitting and so forth. Now the world has changed and people are seeing this. And this flood of articles is coming out, telling the truth about copper. So we think that will create a market, and we will be working with the industry as a company to help promote this going forward. I think there would be some likelihood for government support of entrepreneurial-type companies. Going forward, our primary focus is going to continue to be in developing and operating mines. But we will - we've already begun talking and developing a team to see how we might help lead this movement to doing something that - positive for copper markets, of course, but more importantly, would be positive for the world because these impacts of health protection are real. And we just see how much they are needed in today's world. And even before that, the number of infections that people get going to hospitals for surgeries and things like knee replacements that occur because of infections from hospitals is staggering. So this is just bringing to light a contribution that copper as a metal can make the world. And we are going to be a leader in demonstrating that.
Operator: Your next question is from the line of Lucas Pipes with B. Riley FBR.
Lucas Pipes: Good morning, everyone, and congratulations on a very impressive response to this - especially under these very difficult circumstances. I wanted to follow up to Chris' question earlier on trade-offs between today's cuts and future production. Is there a way to maybe quantify in a little bit more detail what the impact to production could look like for the Americas, call it, starting around 2023?
Richard Adkerson: Well, it's just too early to do that. I mean, we're in a period of uncertainty right now. Our focus has been on bridging from the loss of cash flows from the lower copper price to ensure that we could bridge our company to the higher volumes from Grasberg. And so that's what we're doing with this plan. We're going to focus on executing this plan. For any of us to sit here today and be able to predict where the world is going to be any period of time even in the short run, there's huge uncertainties. And beyond that, there are as well. So we're just not in a position right now to say what we're going to do. But I think what you can get comfort in is that we have the flexibility of addressing to whatever the world has. We have a track record of doing that. You can look and see what we did beginning in 2010, 2011, what we did in 2016, '17 and see how we did it, and that's what we're going to keep working on. So this is an unfolding story, work in process. But as a company, we have a lot of flexibility in dealing with whatever comes down the road, positive or negative.
Kathleen Quirk: And right now, our plans show pretty flat going out to that point over the next 5 years for Americas. But as Richard said, it's going to be dynamic as we assess the situation going forward.
Lucas Pipes: Yes. I understand. I appreciate the color. And again, I think you've done a really great job responding to this unanticipatable environment here. Second question, just in terms of your relative cost position and the industry response. Obviously, there's been a lot of supply being taken offline to safety concerns and precautions. Do you anticipate - first, what's kind of - what's your relative cost position today? And then do you anticipate a broader supply response from the copper miners due to the decline in prices? Thank you.
Richard Adkerson: Well, we have mines that range in cost structures from the lowest end of the industry to mines that are relatively high cost because of the nature of the portfolio we put together years ago when we combined Grasberg with Phelps Dodge portfolio of assets. And by having these assets together is what enables us to reduce mines that are relatively low margin during good times and generate profits and extend resources with having the ability to scale back production when prices are low. And that was the huge issue that Phelps Dodge faced years ago, and the strategic benefit we achieved by putting these sets of assets together. So we can calculate an average as a company and compare that average with other companies. But when we manage the business, the management is focused on site-by-site. And so what you're seeing here today is a layering of actions to reduce high cost production, drive our costs down. And even within areas of mines like Morenci, there are elements of production within that large mine that get adjusted and others do not. So there's no - the average is calculated, but the management is managed site-by-site.
Kathleen Quirk: I think the other thing to add here is we benefit from having very long life reserves. And when you're looking at - aside from the Grasberg reinvestment - investment program we're making right now, once we get into production at Grasberg, CapEx will decline. You'll be generating a lot of free cash flow. But also in the Americas, we have a very long life reserve base and additional resources. So when you look at the cash cost plus the CapEx, and you think about, we're not having to spend a lot of CapEx to replace reserves because we've got such a long reserve profile. And we don't have the reinvestment risk that some other short life mines might have. So when we look at this and when we went through this plan with Red and the Americas team, we were really looking at what is the cash cost less the capital that comes with it? And sometimes, when you're trying to build production and grow, you've got a lot of capital that comes with that. And so right now, we're operating on the plan to have as lower cash costs but also what is the lowest cash cost plus capital expenditures that makes sense for us right now. And that's really the plan we're focused on.
Operator: Now we will turn the call over to management for any closing remarks.
Richard Adkerson: Well, it's been a long call. I appreciate your attention. I think the length of this call is warranted because of the uncertainties we face, and we wanted to make sure that we did our best to try to explain to you what we're doing with the company. As you can tell, we're more than pleased with where we are in a very difficult and uncertain situation. Our guard is up. We're not going to let down at all because none of us are quite sure what else we might have to deal with. And so thank you for your attention. If you have follow-up questions, or comments, please get in touch with David Joint, and we'll respond to them. I hope all of you stay healthy and your families and friends can do so as well. It's time to be reflective about what this situation is doing to so many people around the world, and our hearts and prayers go out to everyone. Thank you a lot.
Operator: Ladies and gentlemen, that concludes our call for today. Thank you for your participation. You may now disconnect.